Operator: Greetings, and welcome to the Doman Building Materials Group Limited Fourth Quarter and Full Year 2023 Financial Results Conference. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ali Mahdavi. Thank you, Mr. Mahdavi, you may begin.
Ali Mahdavi: Thank you very much. Good morning, everyone, and thank you for joining us for Doman Building Materials fourth quarter and full year 2023 financial results conference call. Joining me this morning are Amar Doman, Chairman and Chief Executive Officer; and Jay Code, Chief Financial Officer of Doman Building Materials. If you have not seen the news release which was issued yesterday, it is available on the company's website at domanbm.com, as well as on SEDAR Plus along with our MD&A and financial statements. I would also like to remind you that a replay of this call will be accessible until midnight on March 22. Following the presentation of the 2023 fourth quarter and financial - full year financial results, we will conduct a Q&A session for analysts only. Instructions will be provided at that time for you to join the queue for questions. Before we begin, we are required to provide the following statements regarding forward-looking information, which is made on behalf of Doman Building Materials Group Limited and all of its representatives on this call. Remarks and answers to your questions today may contain forward-looking information about future events or the company's future performance. This information is subject to risks and uncertainties that may cause actual events or results to differ materially. Any information regarding forward-looking statements is made as of the date of this call and the company does not undertake to update any forward-looking statements. Please read the forward-looking statements and risk factors in the MD&A as these outline the material factors which could cause or would cause actual results to differ. The company will not provide guidance regarding future earnings during today's call and management does not anticipate providing guidance in future quarterly or interim communications with investors. I'll now turn the call over to Amar.
Amar Doman: Thanks, Ali. Good morning, everyone. Thanks very much for being on today's call. And let me begin by highlighting some of our key financial metrics followed by some color on our operations during the fourth quarter. And then I will hand the call over to our CFO, Jay Code who can review the numbers in further detail. 2023 would be best described as a challenging year vis-a-vis pricing and several macroeconomic headwinds. We entered 2023 following an extended period of premium pricing levels for building material products which began in 2020 and lasted into early 2022, including some periods of above average volatility. I'm very pleased and encouraged with our ability to demonstrate stability and strength in our financial performance giving pricing levels for lumber, OSB and panel markets in 2023 which were meaningfully lower when compared to 2022. While pricing levels are nowhere near their 2020 - sorry, 2022 peak, the combination of a more stable pricing environment, our continued action towards executing our strategic growth objectives, managing costs and optimizing operational efficiencies resulted in strong financial results as we closed out the year. Despite the impact of the lower pricing environment for construction materials on a year-over-year basis, we exited 2023 with strong performance across all of our key financial metrics including revenues, gross margin, EBITDA, net income. Also, while paying our shareholders a quarterly dividend of $0.14 per common share or $0.56 per common share on an annual basis. I am very proud of the company's performance throughout 2023 given the reversal and decline in the pricing for lumber, OSB and panel markets, more so when compared to our record results from 2021. Despite the pricing declines we experienced during the year, we remain encouraged and pleased with the resilience of our diversified business model, withstanding these macroeconomic cycles resulting in annual revenues, gross margin, adjusted EBITDA and net earnings totaling $2.5 billion, $402.7 million, $196.1 million and $75.8 million. Now, focusing on the most recent fourth quarter results, strong activity across all business divisions, our ongoing cost management and focused on operational efficiencies enabled the company to realize strong revenue performance while showing robust levels at the gross margin, EBITDA and bottom lines. We are very proud of the strength of our financial performance and believe that there is a lot to be gained from the strength and momentum which has resulted from our successes in recent years. As a result of these efforts, during the fourth quarter, we continued to see strong demand for our product categories resulting in revenues coming in about $527 million, gross margin at 15.3% or $80 million, adjusted EBITDA at $33 million and net earnings at $10.5 million, and lastly, as previously mentioned, our quarterly dividend of $0.14 per share was declared. Our ability to withstand market pricing volatilities during the price - sorry, during the previous and most recent market cycles as a result of our tireless focus on operations, gives credit to the successful acquisitions we have completed throughout the years which have and continue to diversify our business model and as such have enhanced shareholder value. We remain very enthusiastic and confident about the prospects ahead and look forward to further demonstrating the strength and leverage available in our business model as we continue to be well-positioned to take advantage of sensible organic growth opportunities. On the heels of successfully integrating our relentless focus on paying down debt and strengthening our balance sheet has resulted in our once again being in a strong position to take advantage of strategic opportunities. Given the strength of our balance sheet and our continued quest to take advantage of strategic growth opportunities subsequent to quarter end, we announced the all-cash acquisition of Southeast Forest Products Treated Limited in Richmond, Indiana and near Birmingham, Alabama. The plans complement our central U.S. operations and strengthen our footprint by introducing coverage in eight new states, including the strong southeastern U.S. markets in select eastern states. This strategic acquisition exemplifies our strategy of adding scale and volume to our U.S. operations and pressure treated lumber and specialty wood products headquartered in Dallas. We welcome all of our new great employees from the acquisition. Thanks for coming on. I also hope that you have noticed our updated branding and logo which was recently launched to properly reflect our evolution and expanding operating footprint in Canada and the United States. The Doman brand now represents the majority of our business divisions under one banner as the leading supplier of choice for construction and building materials in North America for generations to come. Overall, I continue to be pleased with how our growth strategy continues to unfold, resulting in strong sales and earnings in the face of a tough year-over-year pricing environment, while remain focused on margin protection during these times. And with that, I'm going to ask Jay Code, our CFO, to take over and provide a review of the company's fourth quarter and full year financial results in greater details, and I will be pleased to open up the call for further questions. Jay?
James Code: Thank you, Amar. Good morning, everyone. Sales for the year ended December 31, 2023, were $2.49 billion versus $3.04 billion in '22, representing a decrease of $547.9 million, or 18%, largely due to the impact of construction materials pricing declines. This year-over-year lower average pricing which range from 26% to 50% depending on the product category was partially offset by increased overall unit volumes during '23. The company's sales in the year were made up of 74% construction materials compared to 76% last year, with the remaining balance sales resulting from specialty and allied products of 22% and other sources of 4%. Doman's gross margin was $402.7 million in the current year versus $408.8 million in '22, a decrease of $6.1 million. This year's 16.2% gross margin represents a significant increase from the 13.5% achieved in '22, mainly due to the reduced volatility in construction materials pricing and the relatively stable pricing environment during the year led to higher percentage margins realized by the company. However, the previously discussed decrease in sales driven by lower average pricing resulted in slightly lower overall margin dollars in 2023. Expenses for 2023 were $274.7 million versus $272.5 million in '22, an increase of $2.2 million or a little under 1%. As a percentage of sales, 2023 expenses were 11% versus 9% in the previous year. Within the expense category, distribution, selling and administration expenses increased by $1 million, or 0.5%, to $206.6 million versus $205.6 million in '22. Recent broad inflationary pressures contributed to higher expenses during the period, but these were largely offset by the company's continued efforts to evaluate and pursue cost savings opportunities. As a percentage of sales, DS&A was 8.3% in '23 compared to 6.8% in the prior year. Depreciation and amortization expenses increased by $1.2 million, or 1.8%, from $66.9 million to $68.1 million, largely due to the impact of fluctuations in foreign exchange rates on the translation of Doman's U.S. based operations. Finance costs for the - this year were $40.5 million versus $37.6 million in '22, an increase of $3 million or 7.9%, largely due to higher interest rates on the Company's variable rate loan facilities, which was partially offset by lower average loans and borrowings in '23. EBITDA for the year was $196.1 million compared to $203.2 million in 22, a decrease of $7.1 million, or 3.5%, mainly due to the previously discussed changes in construction materials pricing, which were partially offset by increased unit volumes. As a result of these factors, net earnings for the year ended December 31, 2023, were $75.8 million versus $78.7 million in '22, a modest year-over-year decrease of $3 million relative to the pricing-related revenue decline of $548 million. Turning now to the statement of cash flows, Doman's ongoing cash flow - free cash flow generation combined with prudent working capital management drove an overall full year net debt reduction of $56.9 million, inclusive of paying a total of $48.7 million in dividends to our shareholders. Operating activities before non-cash working capital changes generated $151 million in cash compared to $139 million - $138.9 million in '22. The increase in 2023 was driven by significantly reduced income tax payments, partially offset by higher finance costs. Changes in non-cash working capital items consumed $15.7 million in cash compared to generating $83.3 million in the prior year. And we note, during 2022, we initiated efforts to reduce inventory volumes in anticipation of a potential slowing of market activity, resulting in a significant reduction in working capital and the related increase in cash generated last year. During 2023, management continued these efforts to optimize inventory volumes while maintaining the highest standards of customer service. With respect to overall financing activities, Doman made net payments to equity and debt stakeholders totaling $85.8 million during 2023. This year, we borrowed an additional $62.7 million on our revolving loan facility, which we utilized to redeem the outstanding $60 million 2023 unsecured notes and to repave the $14.1 million balance of our non-revolving term loan both in the month of June 2023. We note the company was not in breach of any of its lending covenants during the year ended December 31, 2023. Shares issued net of transaction costs generated $1.2 million of cash, and payment of lease liabilities, including interest, totaled $26.3 million this year. The company's lease obligations, generally require monthly installments, and these payments are all current. We also note that our quarterly dividend payments totaling $48.7 million in 2023 mark 55 consecutive quarters of returning capital to the company's shareholders. Investing activities this year included the purchase of $14.1 million in new property, plant and equipment, compared to $4.5 million in '22 representing purchases net of proceeds from disposition. This concludes our formal commentary and we would now be happy to respond to any questions that you may have. Thank you. Operator?
Operator: [Operator Instructions] Thank you. Our first question comes from the line of Yuri Zoreda with Canaccord. Please proceed with your question.
Yuri Zoreda: Thank you, and good morning, everyone.
Amar Doman: Good morning.
Yuri Zoreda: I was just hoping to get a bit more color on the pressure-treating plants acquired from Southeast Forest Products. I understand it expands your treated wood capacity by 16%-ish. But given that you have your other allied and distribution, just how should we think of it in terms of potential revenue contribution?
Amar Doman: Yes. We're not going to forecast revenue contribution, but as noted in our press release, it'll be immediately accretive. We started invoicing under our brand on Monday of this week and we're very excited about adding in capacity of 300 million feet for our operations and growth into eight new states, and virtually zero overlap. So we're very excited about that. Our goal is to get the production in those two facilities higher over the years. But certainly, you can factor in growth this year, but I can't disclose any numbers at this point.
Yuri Zoreda: Okay. That's fair. Thank you. And one more for me. Nice cost containment, it's unique, quite low, $47 million prior quarter, it was around the $50 million to $55 million. So I was just wondering if there was anything specific in there that brought that further down and how should we think of that line going forward?
James Code: I think that going forward, Yuri, you could expect to be sort of in that range of what you saw in the fourth quarter and the prior year. I wouldn't expect to be as low as the fourth quarter going forward, maybe slightly higher, but we did - we were successful in reducing costs in a lot of areas during the year.
Yuri Zoreda: Okay. That's helpful. I'll turn it over. Thank you.
James Code: Thanks.
Operator: Our next question comes from the line of Hamir Patel with CIBC. Please proceed with your question.
Hamir Patel: Hi. Good morning. Amar, are you able to comment on what the purchase price was of the Southeast transaction?
Amar Doman: No, we're not. We've got an agreement, obviously, with the sellers there that we're going to be keeping that to ourselves. But you can just say it's in the range of our normal metrics of where we like to buy these types of assets. And certainly, it ticks all the boxes for us. And we're very, very proud to have these two large facilities in our fold. We're very excited.
Hamir Patel: Fair enough. And, Amar, with the kind of expanded portfolio now in the U.S., are there still any particular geographies or product categories that you're looking to expand into?
Amar Doman: Yes, we're looking at all markets, Samir, and there's still so much growth for us, even in the markets that we're already in. There's just endless growth for us. So we've got a strategic plan. We are executing that plan. Our board has our plan, and we're moving at the right pace, at the right value. We're digesting these acquisitions. And frankly, we haven't done anything in a couple of years after we digest Hixson Lumber, which is now Doman Lumber. And we're - certainly, our team there executed very well and has digested the acquisition and made the transition perfectly. And now we're continuing back on our M&A path. And you're going to probably see a few more things happening in the next 12 months to 18 months as we start to find value metrics back into our strike zone. We're patient when they're too high. And of course, when it falls into our value zone, Hamir, you're going to see us pounce and our balance sheet is ready for it.
Hamir Patel: Great. Thanks, Amar. That's all I had. I'll turn it over.
Amar Doman: Thanks, Hamir.
Operator: Our next question comes from the line of Matthew McKellar with RBC Capital Markets. Please proceed with your question.
Matthew McKellar: Hi, good morning. Thanks for taking my questions. First, could you provide a bit of color on what treated lumber demand has looked like to start the year and what your expectations are like for that market in both the U.S. and Canada through the spring?
Amar Doman: Yes, it's pretty early, Matthew. But I'll tell you what, our U.S. demand has certainly surprised us at the start of the year in all regions. We are starting the year very nicely on volume and we're seeing takeaway at the store level. So we managed that with a lot of our customers so we could actually see it selling through to the consumer. Much like 2022 and '23, the volumes came out fairly strong and remain strong, so we don't see anything different this year. We're very excited about not only the west coast, when the sun is out in California, we are pushing a lot of material through, whether it's treated lumber, composite railing systems, everything's going. And of course, in the central part of the country, it's been a soft winter and the demand is there and it's selling through, more importantly. So that's great. And of course, with our acquisition into eight new states, we're just extremely excited about that. That's going to evidence here within a month of it in our first quarter. And Canada, it's been decent. As far as takeaway, we gained some new organic growth in Ontario that we're excited about. So we're forecasting a good to slightly up volume here from '23 and I think we're going to hit those metrics pretty easily here.
Matthew McKellar: Thanks. That's really helpful. Sounds like - you're sounding pretty confident you'll be active on the M&A front here over the next while. Are you seeing any changes in terms of the level of competition for acquisitions in the lumber treating or building products distribution space?
Amar Doman: I wouldn't say it's any different than any other time. There's always - there's people looking around to buy and there's some businesses that aren't for sale that just have different strategies longer term. Our goal is to become national and get closer to our national customer base. We have several large national customers, especially the United States, that continue to grow, that - we certainly want to partner with them across different regions and continue to grow with them. Very important to us and our shareholders. So that's what we're focused on. And there's always competition for these things, but we stick to the metrics that we've talked about, you've heard us talk about over the years, and we're just going to carry on doing what we're doing and that's the strategy.
Matthew McKellar: Great. Thanks a lot. That's all for me. I'll turn it back.
Amar Doman: Thanks.
Operator: Our next question comes from the line of Zachary Evershed with National Bank Financial. Please proceed with your question.
Zachary Evershed: Good morning. Thanks for taking my questions.
Amar Doman: Thanks, Zach.
Zachary Evershed: On the topic of the acquisition, what kind of cost do you think can be taken out and what's the opportunity for ramping up cross-sell synergies?
Amar Doman: Yes, I think number one, we're analyzing that right now as we've got the transition going on from their company to ours, as far know functions go. So in a little while, we'll be able to prove out those numbers. We usually don't publicly disclose that. We just get our synergies done, and it starts to evidence in our gross margins and our SG&A. But certainly, there's similar opportunity to maximize efficiencies at the Southeast operations as we do with others. And then, second of all, over time, we'd like to layer in, obviously, composite decking, maybe some redwood, some cedar, and some railing systems to complement Southeast, which is purely treated. So there's that and some one-inch programs that we'd like to put in as well, which is untreated wood, which we produce at Doman Lumber in Texas and in Arkansas. So there's some pretty cool things, and we're very excited about having these opportunities for us as we go forward here.
Zachary Evershed: Got it. Thanks. And I think in the past, you've characterized it as roughly taking a full turn out of the acquisition multiple. Would you say that holds true here?
Amar Doman: Yes, I think it will. And things like chemical inputs, reduction in cost on materials, all the usual. It doesn't happen day one, but give us 12 months to 18 months and we'll get that job done.
Zachary Evershed: Thank you. And - so volume sounds quite strong to start the year. What are you seeing in terms of commodity cash prices and do you think that was a driver of the gross margin uptick in Q4?
Amar Doman: Yes, there's a little bit of a lift there. Even though fourth quarter started off very sloppy in lumber pricing, it was drifting down, drifting down. But our lumber buyers, I got to give them credit, they stepped in and loaded at the right time. And we also have to produce over the sort of the softer months to get ready for the spring season. But we bought right, that helped. A little bit of an uptick here now. Lumber looks pretty firm, to be honest. I like the outlook for lumber right now. The pipeline, I hate using that term, but everyone uses it because it's - that's what it is. It's very dry. Everybody's hand to mouth buy two, sell two, and that's tightened up tons of curtailments, especially out of BC. And there's some down in the South. So we're seeing lumber be sneaky strong here and not a runaway rally, Zach. But certainly, we like the tailwinds we have. We bought well, and it's going to be evidenced. We'll have decent margins here, and we're pretty proud of what this year looks like already. So we're happy.
Zachary Evershed: That's interesting. So inventory levels throughout the supply chain, pretty tight. Maybe you could compare and contrast that to the average sentiment in your customers outlook for there.
Amar Doman: Yes. Everyone - I think since COVID, everybody is still cautiously optimistic. I think the long - longer-term view is interest rates will come down, but the fact that they're not tells us the economy is good, which is good for Doman. So we're kind of happy with right where things are. It's just sort of a Goldilocks here. We'll take it. Houses are being built, there's decks being built, fences being built. Lumber pricing is traditionally lower, as Jay indicated in his report here. Over in the last couple of years, we're back down. What that does is increases our business where a customer can't spend $50,000 or $60,000 on a deck on their backyard, but they can spend $25,000 and they're spending it. So we're starting to see affordable lumber here increase our volumes, and we do very well in these types of situations and environments, so we like where we're at.
Zachary Evershed: Great color, thanks. I'll turn it over.
Amar Doman: Thanks.
Operator: Our next question comes from the line of Ian Gillies with Stifel. Please proceed with your question.
Ian Gillies: Good Morning, everyone.
Amar Doman: Hi, Ian.
Ian Gillies: I was just curious if you're seeing differences in pull-through from your customers right now in Canada versus the U.S. I know it's early in the year and it's a tough quarter to tell, but the strength of consumer is quite different in each geography.
Amar Doman: Yes. Canada, a little bit slower out of the gates, but the housing starts are still there. So of course we've got large distribution activity in Canada. We're turning our inventories. It's still early, but kind of as the weather starts to unlock, we think we're going to have something fairly flat to 2023. I can't tell you we're overly bullish about Canada. It's just kind of stuck in a band here. But having said that, when we're a little bit slower on the takeaway level, our distribution activities pick up because the lumberyards aren't buying full trucks of anything. They're buying LTL less than truckload. And that LTL business for us has been great - in the third and fourth quarter of '23. And the LTL looks very good for us. And we can pick up a little bit of extra margin on that LTL as we do our mixed truckloads across the country here. So Canada, a bit softer. U.S. definitely looking pretty good out of the gates.
Ian Gillies: That's helpful. And then you've talked a little bit about the M&A pieces. But on the organic side, like, is there anything I guess you could target either, I guess, organically or from the M&A side on the allied piece? That would be interesting right now.
Amar Doman: Yes. I don't say there's any big drop in of a product line currently, Ian. But certainly, we can just continue to push into these new markets. We'll have new opportunities to grow especially on the treated lumber side. But as far as allied go, no, there's no earth shattering moment on allieds. But certainly, the allied takeaway in Canada will be important to us as the year unfolds. And our inventories are appropriate. They're not high, they're not low, I think. And they're adhering to the volumes that we forecast. So I think allied will have a pretty good year. Treated lumber is going to have a strong year.
Ian Gillies: Okay. Thanks very much. I'll turn back over.
Amar Doman: Thanks, Ian.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Ali Mahdavi for closing comments.
Ali Mahdavi: Thank you, operator. On behalf of the Doman team, I'd like to thank you all for joining us today. If you have any questions or follow-ups, please feel free to reach out directly to myself. That concludes today's call. Wishing everyone a nice weekend. Operator?
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.